Operator: Thank you for standing by. This is the conference operator. Welcome to the Mullen Group Limited First Quarter Earnings Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Murray K. Mullen, Chairman, Chief Executive Officer and President. Please go ahead.
Murray Mullen: Good morning everyone and welcome to Mullen Group’s quarterly conference call. We will be discussing our financial and operating performance for the first quarter. And this will be followed by an update on our near-term outlook as we see it. And but before I commence the review, I’d remind you that our presentation contains forward-looking statements that are based upon current expectations and are subject to a number of uncertainties and risks, and actual results may differ materially. Further information identifying these risks, uncertainties and assumptions can be found in the disclosure documents, which are filed on SEDAR, and at www.mullen-group.com. This morning I have our senior team again. I have Stephen Clark as our CFO; Rick Maloney, Senior Vice President; and Joanna Scott, Corporate Secretary and VP of Corporate Services. This morning Stephen will review the financial and operating results of the Mullen Group for the first quarter after which I’ll provide an outlook for our organization and discuss our near-term expectations for both the oil and natural gas industry and the overall economy and that’s from my perspective obviously, which will be followed by Q&A session. So, before I turn it over to Stephen, I would open with a few comments that I typically do. So, I will start, but I do not like starting up any call, any meeting or anything for that matter by focusing on - but there really was no other way that I could think for today’s call. The first quarter was a real challenge and disappointment for our organization, that’s primarily due to the lack of investing activity in Western Canada. Before everyone jumps off the bridge because of our Q1 results, let me just say that a lot of noise we experienced in Q1 was not of our making. Even the railroads were down year-over-year here in Canada. And, the oil and gas service industry was down year-over-year here in Canada, as drilling and [capital employment] slowed. So, let me reiterate the basic fundamentals that had the most influence on our financial performance continue to evolve. And, the reality is our first quarter results do not reflect that the macro trends I have spoken about at length over the past debts have not reached that inflection point where the markets we serve actually start growing providing both top-line growth and pricing leverage. When this occurred on shareholder will benefit quite nicely, when this occurs remains open much for debate and such I cannot accurately predict the time of the recovery or when it occurs there will be some quick market adjustments that are inevitable. We only need to look at what’s happening in the U.S. right now to get a sense of what could be, quite simply it is about how government policy influence the direction and the flow of capital. For example, down south the U.S. trucking industry is in the midst to one of the great markets of all time. The oil and natural gas industry is growing their production; they are drilling, they are investing capital and seizing opportunity. As the CEO of the Public Company here in Canada I’m so envious. But let’s move on to reality to what is happening in the Canadian marketplace because we all know [indiscernible]. I can summarize the first quarter as follows. Trucking/Logistics segment continue to draw revenue growth along with some margin expansion. Although I wouldn’t say I’m pleased with this performance. There is no doubt that whether I play it hard, but I won’t put all of the blame on the long and at time severe weather. Our Trucking/Logistics business units did the nice job of capturing pricing gains in the spot market but they were slowed at implementing pricing increases into the contract market. The reality is that the pricing increases are an absolute requirement today. The market – in creating opportunity embrace pricing which we have not seen in a long time and we need to be cognizant that costs are rising, whether it would be for fuel, wages or equipment. Clearly we do not look [indiscernible] this issue which partially explains where our Trucking/Logistics in it only improve margins by less than 1% in Q1. We have more work to do. But in saying this we must remember this about pricing. The spot market is an event breaks, move up and down quickly. Contract pricing is the trend. It requires more collaboration with your customer, but I can tell you that the trend is up. Our Oilfield Services segment had a challenging quarter to say the least. There were several reasons, but the most obvious relates to what we refer to as a specialized services group, Premay Pipeline Hauling and Canadian Dewatering for example two of our higher margin producers, both had projects delayed, but they are for different basis. That Premay Pipeline, mainline construction, our pipeline is extremely cyclical and is a very lumpy; projects either go or they don’t. Last year in the first quarter we had a very attribute of pipeline activity, whereas this year really nothing happened. There is plenty of work, but the timing of the projects really worked against this year. At Canadian Dewatering a similar story in terms of the results, but their issue was more weather related as well as a lack of capital commitment by their customers. No one really needed dewatering or pumping services when winter remained in trenched throughout March. In addition there seems like no one was making capital commitments, whereas last year there was a general sense of optimism which translated into solid pump sales. Thus far this year virtually no pump sales, the springs only arriving dewatering and pump services are robust, this flooding emerges is a real concern in Southern Alberta and now in British Columbia. I’m pretty sure that the Canadian Dewatering issues were just Q1 issue rather than anything more long term. Collectively these two business units accounted for the majority of the revenue and operating earnings declines in Q1. But there were some other issues as well. Drilling activity in Western Canada was done approximately 8% year-over-year, cost pressure submerged at the same time pricing turn competitor and in some cases I will call it stupid as competitors came under tremendous gas well pressures. We do not believe this trend will continue for much longer, but in Q1 several of our Oilfield Services business units were negatively impacted. All in all we are challenging a disappointing quarter to start the year. But in saying this I outlined our financial goals to everyone on our February 8th call. And, I said to everyone, I thought that we would generate consolidated revenues in excess of $1.2 billion and currently you can see that we are averaging about $100 million a month. So, we are right on target for consolidated revenue. I’d say we achieved throughout the year operating margins in 16% and 17% range which equates to an OIBDA of approximately $190 million to $200 million. So, truthfully nothing has changed from what I said on February 8th. It’s just the Q1 and we got a couple off issues that Stephan is going to talk a little more granular about and then I’m going to turn the call over to him and then I will come back with my latest update based on what we know at this time. Step I will turn it over to you.
Stephen Clark: Thank you, Murray and good morning fellow shareholders. Our first quarter interim report contains the details to fully explain our performance. As such I will only provide some high level commentary. What seems to be recurring theme, the first quarter saw growth Trucking/Logistics revenue and lower Oilfield Services results. Margin was challenged because of lack of capital spend or business investment in the Canadian economy, and our addition of lower margin revenue streams by way of acquisition. Overall consolidated revenue was $292 million, a modest increase of approximately $7 million or 2.5% compared to 2017. On a sequential basis consolidated revenue was uncharacteristically lower than first quarter reflecting a decline in the Oilfield Services segment revenue. Specifically from a segment perspective, the Trucking/Logistics segment contributed approximately 17% of pre-consolidated revenue grew year-over-year by $26.6 million approximately 15% to $207.5 million as compared to $180.9 million in the first quarter of 2017. This is a new record not just for the first quarter but for any quarter. On sequential basis, the Trucking/Logistics segment grew ever so slightly largely because of the affects of acquisition, counter balance by the well known seasonal effects in the sector not withstanding effect of lower margin acquisitions. Operating margins expanded by 0.06% to 2.4% primarily because of higher margins generated by our truck load business units and higher spot pricing opportunities. Keep in mind, cost are also rising. Fuel prices for instance rose by more than 20%, more than that in Alberta because Alberta around of tax increases. Fuel surcharge raise always lag behind price increases and fuel efficiency is lower in cold weather. We had a lot of that in last quarter. This is a major factor explaining why fuel rose by almost 4% point as a percentage of revenue negatively impacting margin. We saw [wage in] inflation. And, we acquired companies that generate lower margins. That being said, the segment was able to generate $25.8 million of OIBDA as compared to $21.4 million in 2017. Overall not bad but as Murray stated we have work to do. The Oilfield Services segment contributed 30% of the pre-consolidated revenue or approximately 85 million which was a decrease of $20 million year-over-year. Murray spoke to the factors affecting revenues specifically Premay pipelines and Canadian Dewatering were down a combined $57 million. These two business units alone accounted for nearly 80% of the revenue decline. Without these two business units making a substantial contribution to the segment, margin declined substantially to 14.8% as compared to 20.7% 2017. Overall, consolidated margin was about 13%. This is quite low in a historic context to consider the following. We are more Trucking/Logistics focused than we once were. A greater proportion of Trucking/Logistics revenue was a greater proportion of Trucking/Logistics revenues, but the overall margin just worst segment average. In 2018 the Trucking/Logistics segment was full 71% of revenue as compared to 63% in 2017. We are still integrating our acquisitions. Many of these acquisitions have yet to produce the margins that we expect as we continue to work with them to improve. And, lastly let’s stop mince words. Our Oilfield Services segment margins disappointed. Without the large capital spend in the sector - reflect in natural gas drilling came down nearly 30%, but more importantly pipeline projects being virtually non-existent combined with sometimes brutal weather. This segment simply underachieved. When it comes to net income our earnings per share was reduced by $0.13. Yes OIBDA was reduced by $3.8 million, but the negative variance on foreign exchange at $8.5 million had a greater impact on EPS than lower operating income. This $8.5 million charge is confusing to some given that with the fully hedge on our U.S. denominated debt. We locked in contract about $1.11 that we entered in 2014. Yes at $1.11 they are in the money and yes they are maturing in conjunction with our rules in 2024 and 2026. So, you might think the changes in our U.S. debt would be offset by changes in our cross currency swaps and there would be no counting charge related to these swaps. However, we are required to fair value these swaps at the end of each month and we must discount the value for maturity and take into consideration the cross currency forward curve, whereas our debt is simply valued at the spot rate at the end of each month. That discounting and changing the forward curve causes fluctuations in their fair value. Of course, this is little too complex for most and I would like to thank our friends at RBC that fair value these swaps for us at each and every month’s end. So, there is an accounting hit, but in reality there is no what I would call economic hit, unless of course you want to wind these swaps which is not our intent. On page 20 of our interim report you will find the calculation of net income that adjusts for this factor. EPS adjusted as defined in the interim report was $0.09 per share versus $0.11 per share. So, again an economic - in true economic terms we are fully hedged, fully protected, but in accounting terms once discount the value and it causes some noise in our net earnings. That being said concentrating on free cash is always may stay at Mullen Group. Our balance sheet remains strong with nearly $125 million in cash. During the quarter we generated about $22 million in cash from operations, we invested $10 million in PP&E primarily in Trucking/Logistics segment and acquired DWS for approximately another $10 million. With ample cash on hand, we intent to repay our $70 million [indiscernible] in June with the expiry of our waiver, our debt confident leverage will be virtually the same at 2.5 times. So, $70 million of excess cash debt, but then calculation is offset by repayment of $70 million of debt. So, after this payment, we will have no scheduled no repayments until 2024. So, with ample cash $75 million credit facility that remains undrawn and the ability to borrow substantial additional funds given that we are only 2.5 times levered, we have substantial drive powder to accelerate growth for the right opportunity. So, with that Murray I will pass the conference back to you.
Murray Mullen: Thanks Step. So, as we move to the next session and just before the Q&A. I would take you back to our February 8th, 2018 conference call. And, what I indicated there were some big issues that needed to be resolved here in Canada or very minimum some clarity before we could comfortably predict the outcome 2018. Clearly from my perspective and as evidence by our Q1 results, I can only refer to as messy, the big issues remain. Nevertheless, time of the view that the underlying trends that I have outlined over the course of the last few quarters have not been and I repeat have not been altered or changed. For example, we are on the cusp of the significant tightening in the supply chain driven by 10 years of easy money policy which is supported as slow but steady growth in the Canadian and North American economies creating millions of new jobs, whether it would be in the new economy job area, the service sector or the traditional economy. The result of this steady growth is that we now have virtual full employment situation, the likes of which I have not seen in my career or at least that I can recall. Adding to this, it’s a law of nature. And I’m referring to demographics. The trucking industry in fact many traditional economy industries flourish with the age of the baby boomer generation. Today the same people that were so crucial to the job sector are now either retiring or nearing retirement age. The reality is that the trucking industry for being large employer in North America is short of drivers that the very same time demographics is changing the workforce and the economy is at full employment. This is a trend that is not going to resolve quickly. As such it is my firm belief that we have entered a new era of rising crisis for Trucking/Logistics. In the first quarter we saw clear evidence of this new reality in the spot market. Further more in the U.S. there is a full on scramble [indiscernible] to secure capacity. In Canada we are not quite there yet because our economy remains below capacity and behind that of the fast growing U.S. market. As such contract pricing including in our LTL sector lagged in Q1, but this will change as the year unfolds and contracts are renegotiated. All our Trucking/Logistic segment business units have been instructed to increase rates and while we are in the early innings of this trend, it will occur in 2018 which implies that margins will improve as the year unfolds. Now let me digress for just a moment. Beginning of the driver shortage and tightening supply chain is pricing will undoubtedly improve. Beginning of the driver shortage is that growth will be a challenge quite simply because without drivers you cannot expand your business. This is why we consider acquisitions, so key to the future growth of our Trucking/Logistics segment. To grow you have to acquire and acquisitions is precisely what we have been doing for over 25 years. And of course, since 2012 you will recall that we focused the majority of our acquisitions and capital allocation strategy towards the trucking and logistic sector of the economy. I’m pretty confident that the rationale behind this strategy will become even more evident to our shareholders overtime because the trend I spoke about earlier appears to irreversible today. So, clearly the optimism I spoke about in my annual chambers message in over the course of the last year or so as it relates to our Trucking/Logistics segment remains high on my list. The second trend I’m little less confident however, but still believe will occur and that is a recovery in the oil and natural gas industry and it’s not just me, there are a lot of more people more optimistic about the future of this industry than over the last course of last few years, it’s funny how rising oil prices bring optimism just as low oil prices brought pessimism. Let’s be honest, this is the oil and natural gas industry and even though the trend shows the sign of recovery is emerging, this is cyclical business and as commodity prices rise the industry will definitely recover, but the growth that’s more complicated, it’s a function of policy, it’s a function of pipeline, and it’s a function of LNG. We saw firsthand in Q1 a slowing in the oil and natural gas business. Our Oilfield Services segment results bottom line they were awful and while I feel better about the future, the reality of the moment is Q1 was not good for Oilfield Services industry. The drilling recount in Western Canada was down approximately 8% year-over-year. Customers are taking advantage of the situation and the competition is pricing like they’re going to go out of business which they are. There is for example, a spring auction sale held in Ritchie Brothers here in [Nipton] this week. There is so much equipment on for sale that they had to extend the sale to five days. So, certain companies are either outright dispensing all of their assets or are forced to sell some to reduce debt. In my view, it is just the beginning of a significant service industry change. When demand increases and it will as commodity prices improve, virtually no service companies will have the cash to grow. This will become our opportunity, so while I’m confident that the Oilfield Services business will recover from today’s dismal state. I’m not exactly sure of the timing. And, I wouldn’t be surprised if activities start to pick up in the second half of 2018 and trust me we will be prepared. The third trend, it also relates to the oil and natural gas sector and this is I refer to as energy and infrastructure. Namely crude oil pipelines that will provide additional takeaway capacity for crude oil from Western Canada and of course LNG, Liquefied Natural Gas sanctioning on west coastal British Columbia which is the only viable way to move Western Canadian natural gas to Asian buyers. There are other potential projects being contemplated and as these big capital projects become reality, I would expect Canada’s oil and natural gas industry to at least see a path towards some future growth. Of course, the issue once again is one of timing and while I’m more optimistic than I have been in years on these important projects. The fact is that all we had in Q1 was more concentration, more protest, more of the same. But I’m an optimist and my optimism is getting momentum in terms of both energy infrastructure and improving crude oil pricing. And, as such I have started to prepare organization for what I believe is a potential recovery in the sector. And, since we are now on the topic of listing of our future, I will close with comments on two initiatives that I consider important to our future. The first is acquisitions. We continue to evaluate several opportunities. However, we will not chase growth. I’m not interested in chasing growth with 95 operating ratio that’s not our business model. Any acquisition we make will need to do thresholds or strategic to Mullen Group and it must value Mullen shareholders. We have a strong and more structured balance sheet as Stephan talked about which we will use to our advantage. And, of course while talking about the future you must incorporate technology into the discussion. By investing and move it online, we have positioned our organization for the digital world not only as the platform we are building adding value to our many business units, it is the potential to open up new markets. The digital marketplace is inevitable and we are giving our shareholders an opportunity to realize on this potential. And, not unlike any start up there is a lot of work we must do before we can talk about value to shareholders. But let me give you an update of what we have achieved thus far. We have released MOV version 3.0 with a new look and a private market price on set, we have added almost 300 carriers representing approximately 20,000 trucks to our platform. The load count continues to grow reaching over 1,000 loads for the month of March 2018. In March of 2017 no loads, we had no carriers, no loads, no nothing. So, we made substantial headway. And, more recently we are starting to actually see shippers use the platform and not just other trucking companies. We are in a race to bill content to earn the trust of users and to capture their time in the digital marketplace. It’s accelerating, it’s exciting and it is challenging the way we think about the future transportation. Thank you very much and I look forward to addressing your questions.
Operator: We will now being the question-and-answer session. [Operator Instructions] Our first question comes from Walter Spracklin of RBC Capital Markets.
Walter Spracklin: Thanks very much. Good afternoon everyone. So, Murray you mentioned how you kind of touched on your outlook you had given a little while ago $1.2 billion in revenue, 68% margin 190 to 200 EBITDA. By the same tone you sounded pretty negative on reflecting on the first quarter results. So, are you building in there for kind of a higher expectation for rest of year and how comfortable are you with that or did you have buffer in there that is down and eating up a little bit just curious what seems to be unexpected little bad first quarter didn’t result when your changing your forecast?
Murray Mullen: Yes. So, we were off from last year by $4 million of EBITDA I think, correct, that’s what we’re off year-over-year. The majority of that we can explain to due to some project timing delays and the pipeline business and some other related issues etc, etc. But I would say to you that when I articulated our financial goals on our February 8th meeting that I said we would get to revenue and EBITDA or OIBDA of $190 to $200 million, our view hasn’t changed on that because we are off by a few million dollars in the first quarter. As I said the rails were off and the main was off. These odd things would be kind of new back in February. I didn’t know about March being quite as bad in terms of weather. I didn’t know spring was not going to happen till the end of April, but that’s only a little bit of it. So, from the overall perspective, I don’t think our view for the rest of the year has changed because of what happened in the first quarter. Part of it as I said is Premay pipeline and on the first part of the last year they were busy in the first half and they did nothing in second half. This year they are not doing anything in the first half but they might be busy in the second half. The pipe for Kinder Morgan is coming in, is it going to be laid as a pipeline? I don’t know the Trans Mountain and bridge line is free, the pipe is ordered, the contracts are out to at least complete the Canadian portion later this year. So, pipelines are project business. Project business is choppy, it’s lumpy. And, when we have good quarters we look really smart and we have bad quarters we look really dumb. But at the end of the day it’s still a great business and it’s just part of our diversified portfolio just one or two of the companies, but when they go good they have high margin, when they don’t go good they have low margin. So, it kind of excused the numbers a bit, so I wouldn’t as I said, I wouldn’t jump off the bridge because pipelines weren’t busy in the first quarter. That’s all fortunate related. Canadian Dewatering was a little bit different. Yes we didn’t have any pump rentals out when the ice is still out there, you’re not going to get any water when there is ice. But right now they got nearly under pump setup because you have got floods in Alberta and floods in British Columbia and the snow melt is going to happen. So, not worried about Canadian dewatering, they got behind in the first quarter, will they make it up that in the rest of the year? I’m not sure about that, but the rest of the year looks pretty solid. They have got their project starting; they just got little because of weather. So, some of its noise and some of it’s this and some of it’s that, but I’m not changing my outlook for the year. I’m not doing that, no need for rest it then.
Walter Spracklin: And, if there were a little bit more softness in oil and gas, I mean, it might be feasible to say there might be little bit more strength in your trucking segment. When you are looking at that business, I recognized you are saying that a lot of what’s happening in the U.S. has not really permitted into Canada quite yet or if at all what kind of volume environment would you characterize your trucking business having on an organic basis and would you say your pricing is positive even if not to the extent that you are seeing in U.S.?
Murray Mullen: Yes, we have like I said in the first quarter on our Trucking/Logistics side in the spot market, we saw - and spot market pricing is an event, it’s just supply and demand, there is no contracts here, it’s just what you want done, what you need done, how much are you going to pay. And, in that pricing it was up 20% on average in the spot market. Now your costs go up because your subcontractor costs go up. But generally speaking there is a – there was a real shortage that happened in the spot market. I would be blunt that really didn’t have as much to do with the Canadian trucking industry it had to do with how robust the U.S. economy is and the U.S. truckers were busy and when they are busy they don’t come to Canada quite as often. So, but that tighten the market, doesn’t matter how the market tightens, the question is the market tightened. So, contracts it takes a little longer, that’s all. But I can tell you I’ve already our people, all of our every people, every business unit I’m not asking you to raise prices. I’m telling you to raise prices. And, either your customers are going to be mad at you or I’m. Take your poison, but you are going to get this done. So, it will happen over the course of the year. I’m convinced of that.
Walter Spracklin: Got it. And, in terms of trucking and are you still focused on growing trucking incurred like from this point forward if you are going to direct acquisition dollars to one segment, are you still kind of focused on trucking and as a subsequent to that, is there any other larger opportunities out there in terms of other companies you could get a deal with where we are a bit more of a significantly forward in trucking export can happen or you just going to do it by kind of small trucking after small trucking after small trucking?
Murray Mullen: That’s a very good point and a very good observation. So, thus far we have done, we have chosen a strategy of trucking acquisitions. We have been focused on regional LTL and warehousing. When you do smaller ones, you don’t have quite as big impact obviously, but you de-risk it. And truthfully smaller trucking company’s evaluations are much more compelling from our perspective. We will continue to allocate dollars towards the Trucking/Logistics segment which is more of the consumer driven part of economy and for the reasons that I bid, we have got employment insurance, we have got a demographic issue hitting trucking and as such like the trend for the trucking and pricing is up that I haven’t seen in quite a while. So, that would tell me that we will continue to do acquisitions in our Trucking/Logistics side and we are going to continue to look at and build our record performance in terms of revenue in Q1. That will happen as the year unfolds and we are working diligently with all of our business units to move margin on. And, so that perspective we have got top-line and we have margin improvement in Trucking/Logistics sector. Let me talk a little bit about the oil and gas industry because that’s the other part of our business. The facts are as and we have got to be honest with each other as the industry and by that I will say by definition Alberta is not really supported by our government. It’s really not supported by Western Canadians or by British Columbia. So, this ultimately means in my view is that oil and gas industry is no longer growth industry. And, which is why we move our business model focused on the consumer part of the economy and why we have invested heavily in the Trucking/Logistics segment since 2012. But in saying that the oil and gas service is not a growth industry, that doesn’t mean that once we get through this rationalization period, there is not going to be opportunity and I think it’s more just pricing as deploy driven but that will give some opportunity and then we will consider putting capital into that sector as we see fit. The growth sector we don’t view as a growth sector right at the moment because our federal government and our fellow Canadians are not supportive of the oil and gas business at least not from what I see. So, I’m just going to read particularly and I just got to do what I think is the best and we have been – we saw this trend back in 2004 which is why we focused nearly all of our venture, all of our capital in the Trucking/Logistics side and thank God we did, because the overall service side is a bad business at the moment. It’s just the reality.
Walter Spracklin: Okay. Appreciate your thoughts always Murray.
Murray Mullen: Thank you.
Operator: Our next question comes from Elias Foscolos of Industrial Alliance Securities Inc.
Elias Foscolos: Good morning and thanks very much for all the color earlier, but I do have a couple of follow-up questions.
Murray Mullen: Good morning, Elias. How are you?
Elias Foscolos: Fine, thanks.
Murray Mullen: I know you are going to have questions for me. You are always insightful. So, I’m looking forward to it.
A –Stephan Clark: What you are going to ask me, I better be on my [indiscernible].
Elias Foscolos: I think I have altered maybe on a couple of them. But focusing on the Oilfield Service segment for a moment, when you saw the $16 million of revenue loss in both specialized services side let me keep this out, would you consider all of that or the majority of that to be a slide from Q1 to later part of year or do you actually have something fall off the table that might not come back?
Murray Mullen: I would think the majority of it is a slide because it’s a good chunk of it I think Stephan, we talked about $9 million was in Premay pipeline division year-over-year basis because its project related, I think it comes lumpy later in this year and last year was in the first quarter. So, I think after that is going to be picked up and after that into our - into all of our models that we have given everybody back in February. So, the second part, some of the sales of pump sales had Canadian Dewatering I think that’s going to come back. I think that might be lost and at least until we get some evidence that capital is going to start flowing in the Canadian. Right now in Canada capital is on strike and it’s like just accurately predict whether that comes back. I think we are getting temped up demand Elias, but I don’t know when it comes back. I know we are using all the stuff and we are working it out. I know [indiscernible] rock trucks and they have to do - bunch of new stuff because things are working out, but people are just putting a lot of books there and just hit it and that’s just where we are at right at the moment, so…
Stephan Clark: And, Murray I would add that Canadian Dewatering was a little bit off budget, but Canadian pipeline was largely on budget and so when we made the announcements in February and just now reiterated like we sort of knew that project sometimes it’s certain, sometime it’s uncertain so.
Murray Mullen: Yes, Canadian Dewatering, I mean, the weather did hurt us, like I said hurt the rails, I mean, they came up when things were down year-over-year, yes, our cost were up and things just didn’t go very smooth and business were delayed, part of it because of water, part of it because capital on strike and part of it just project timing.
Elias Foscolos: Good, got it. And, I do appreciate that because as analyst you can’t work of the quarterly cycle and you might have your budgets that we don’t necessarily hear or see quarterly…?
Murray Mullen : We are publishing them yet. Yes, just on that, I would say some of that Q1 that we lost and now it’s cynically tough to recover in the last half of the year [indiscernible] after the first period you can still win the game if you can make that to three goals. So, part of it when you often make back, but what happened in the first quarter has nothing to do in my view with what’s going to happen in the remaining three quarters.
Elias Foscolos: Okay. Just confirming again from the past that in your number, you really don’t have any major pipeline were baked into that at this point time, is that correct?
Murray Mullen: We have got a little bit of pipeline work just what we knew baked into the second half, but it’s not ovens, like we haven’t baked in any - anything for LNG, we haven’t baked in anything for at least Kinder Morgan, we are doing what we know we have to do which is just moving the pipe, all the Kinder Morgan pipe has been ordered and we moved the pipe off the dock to install this overseas at a high pressure high intense lines. So, that’s been bought offshore. It’s entering through the port of Vancouver and just being stock pile, so we are doing that part. But the real fun part of that pipeline business is you take it from the stock pile and you lay it online, so when does that [indiscernible] he knows more about this stuff than I do.
Elias Foscolos: Okay. I will…
Murray Mullen: I’m sure he will take it.
Elias Foscolos: Moving to the Trucking/Logistics side and margin I see sort of two offsetting trends here. Number one, you talked about pricing structure because of the demographics because of the economy which could move margins up. But long term as you begin to focus more on asset light type of operations the things that - that would sort of counteract that, I mean, top line in revenue, I’m just trying to get more longitudinal feel on margins beyond let’s say the 2019 window?
Murray Mullen: Yes. I think that’s a good observation. If we can’t find drivers, clearly it’s difficult for us to go by the assets to do the work. So, in that kind of scenario we would be going into more logistic market which would typically to say it has a little margin, but it's got at least 10 cash flow generation that if you have to buy the assets. So, we will take a look and see how that is up, but you are right as you move towards the more asset light even when your margin goes down a little bit, not your cash. Cash is different as you know, but it really depends. But I’m getting the little bit troubled on what I’m seeing with this vision force a very tight labor market and the changing demographics that clearly impacts our long haul truck load business more than our regional LTL business. Regional LTL is different. We will do just fine in that side because we can get [indiscernible] quality of life and people don't want to be in the long proportion now that implies to me the slide change has changed and it's going to change dramatically over the course of the next for a long time. No more you are just going to call up and say, hey got get this and get it and deliver to me. So, that's why we are getting more and more into warehousing business. I think the supply chain is going to change dramatically over the next number of years.
Elias Foscolos: Okay. And I will close up with one last question. We did see a bit of an uptake I believe in capital commitment year-over-year and I guess that you would like to read instead of sort of like the indicators, there is two things that get we get to put more capital particularly in the assets, our number one is indeed fundamentals and number two is the political climate, I would say aligning. Do you need both of those to get into the place one or even is the fundamental is there, would you back away if the plan was not conducive?
Murray Mullen: No, we won’t back away because it's still business. We’ll still make good investment where we think we get good return in the oilfield side. My issue is with the oilfield side is that we are not going to leave with oilfield side, I can put a lot of capital to work until we see a really a conviction by the government, and by politicians and by Canadian that we want to invest in the industry with that. In saying that we have had some good news on LNG that they – that came up last week. So, projects like that go if you are going to get $40 billion project sanctioned by a Shell Canada or by Shell that's probably a pretty indication that we should start putting a little bit of capital to work. So, projects appear to be getting to closer and in that perspective we are watching intently. I personally believe LNG is the path to our future, it's a path to get natural strength and natural gas out of British Columbia and Alberta to be in markets which are in desperate need of natural gas so that they can move away from coal. And, natural gas, [indiscernible] towards electrification. And, the only way you get natural gas to Asia is through LNG, Liquefied Natural Gas. If that goes those are massive projects and to me that's our goal potential for our industry over the next decade. Oil Sands instead, we aren’t inventing any oil sands.
Elias Foscolos: Okay. I appreciate that. And, thank you very much for that additional color insight. And, I guess I’ll turn the call back.
Murray Mullen: Thanks Elias.
Operator: Our next question comes from David Tyerman of Cormark Securities Inc.
David Tyerman: Yes, gentlemen. First question is on the Trucking/Logistic. I’m wondering if there is any risk to your outlook from the subcontractor tightness number of logistic guys that seemed to have had some compression. So, I’m just wondering, whether this is an area where there could be some challenges through the year?
Stephan Clark: David that’s what I said the contract market for pricing went up quite nicely up about 20% but in saying that the contract - in the contract market you use a lot of subcontractors, you use a lot of the excess capacity. So, that tightened and those rates also went up by 20%, so you are right, the logistic companies are going to get squeezed here to the extent that they make commitments to customers on comfort pricing and they you had to go into the market and by spot market trucking. So, yes, that's a trend that we got to watch for, it's a trend that we look for and we saw and we managed the situation pretty good because we were pretty aggressive on our business units, don't walk in because the spot market is going to change and when it changes it's going to change rapidly this time. So that's a good observation and the logistic guys are going to get trapped. I think we will be - trucking just excited because we do have our hard assets our own and as such I would expect we will - that will help us improve our margin overtime and it needs to as I talked about.
David Tyerman: Okay. Fair enough.
Stephan Clark: I don't know whether that spot markets either go up anymore that delta is nearly over. I don't think it's going to go up another 20 over the first quarter. I think spot markets are set now. So, I think it's found kind of a new equilibrium point where we are at. That's my general sense.
David Tyerman: That's helpful, thank you. And, then the other question I had was just moving - it's obviously growing very fast. Is there any way that you can help us understand the financial implications for this because I’m not clear whether this is or can be material financial to the company?
A – Murray Mullen: Well, it's not yet because as I said we are in the early stages of building the business model out. As I said we have got to build the content and really a marketplace is really like it's like a publication. You got to get leadership before you can monetize. So, we are focusing all of our effort right now on just providing a marketplace for the trucking companies to come to which transacts loads to do those things. If we are successful then you will be able to get, you will get people coming your side, and once you get people coming your side, you can monetize that. But thus far 100% of our attention is all on just building the site and on moving into the digital area. So, it's premature to talk about revenues. No, it’s certainly there is some cost to it that's we are investing in this. But from that side we are kind of keeping that close to the best and we will see where this takes us. We have got lot of work to do, but I got to tell you that if we get it right it's a home run, if we don't our existing business units are using it we get more data then nearly we get real time data on what's happening with load posting, what's happening at the spot market and that helping us run our business more efficiently.
David Tyerman: Do you have a sense of when you would be able to determine whether this can be turned into something that you…?
Murray Mullen: 2020
David Tyerman: 2020 okay.
Murray Mullen: That's my best guess at the moment.
David Tyerman: Okay. That's very helpful. Thank you.
Operator: Our next question comes from Turan Quettawala of Scotiabank.
Turan Quettawala: Yes. Good afternoon. Thank you for taking my questions. I guess maybe the first one Murray I was just wondering if I look at your Trucking/Logistics segment, I mean there’s already quite nice some 90% already. I know you have been a little bit lower in the past, but things are also moving out and I guess with some of the acquisitions. I was wondering if you can sort of give us a sense of how high that margin could go in TL segment?
A – Murray Mullen: I think we have guided towards that our traditional is around 15%-16%, Turan.
Richard Maloney: Turan, Richard. I mean – the first quarter of the Trucking/Logistics is always the stock, so we come out of that we are improving margin over last year and that's what doing acquisitions that don't - no acquisition we do adds to our margin when we do it. We already operate the companies, it takes a while to take companies and make them into - get them into our margin territory so even with some of the acquisition noise that we had over last year which are typically lower margin than our core business along with some of the weather related issue and cost related issues, we still improve margin and it's softest quarter. So, I got to tell you I’m - we are going to get back into that range of 15% to 16% over on an annual basis. That's my – that's our goal. It might come down a little bit Turan because the more we go to asset light, well I don't think you are going to get 15% to 16% in that cycle like model situation. I think that's more 10% to 12% for an asset light. But you got to have 15% to 16% in an asset - in our view in an asset intensive business.
Turan Quettawala: Okay. Just so I can clarify because your margins been almost like 14 to 15 on EBITD, we are talking EBIT or EBITDA here, sorry, just unclear?
Stephan Clark: EBITDA Turan.
Turan Quettawala: Okay. Just fair enough because you are doing EBIT margins are more like 10-11 right now, right?
Stephan Clark: That's correct.
Turan Quettawala: Okay.
Stephan Clark: In an asset light business your EBITDA is your EBIT.
Turan Quettawala: Okay. Fair enough, fair enough. But what I’m trying to get to though as if you are doing about 14-ish percent margin last year 14.5% EBITDA and so you can get about 15% this year is that sort of reasonable for 2018?
Stephan Clark: 15% and 16%, I think is what we have guided towards.
Turan Quettawala: Okay. Fair enough. Thank you very much. And, I guess the flipside just asking the same question, but on the Oilfield Services segment, I mean teams like revenue growth has obviously been quite hampered here. I know you are expecting it to get better. Do you see the margin there is sort of at the low now or do you think there is a bit more down side risk?
Stephan Clark: I don't think – I think the margins are is low. Our business has changed dramatically over the years. Our first quarter always used to be best quarter because we’re so heavily dependent on the Oilfield Services side. Now that's not the case now because of the market and because we are deemphasizing Oilfield Services. But I think margin what you get in the first quarter which you are going to see for the year and it's just a matter whether we are going to get some top-line growth or not in the last half of the year. I’m getting a little more optimistic for the second half of the year. The drill activity is going to improve, it's starting to tighten, we are hearing more evidence that our customers are rebuilding their balance sheet and that they are going to be a little more aggressive on drilling side in the last half of the year vis-a-vis the last half of last year, but clearly thus far this year behind 2017.
Turan Quettawala: Okay. Perfect and I got one last…
Stephan Clark: The margin are there, but it's going to be a little choppy based upon when those nice \projects come, projects are lumpy. And, if you get a good project you are going to make good margin and that can skew it a little bit which it did in the first quarter. So, it's looks a little awkward in the first quarter because [indiscernible] March and guys did nothing. So I don't think that's trend for the year. I think – once again I think our trend is more - middle of the road up to 15 or 16 in the oilfield service side and realistically when you get a little bit of growth I think you should prepare on 20.
Turan Quettawala: Fair enough. Yes, convinced me about 20 in the past for sure.
Stephan Clark: That's correct.
Turan Quettawala: Okay. I guess and then maybe just one more, was there a big fuel headwind in the Oilfield Services segment in the quarter? Was the pricing, I guess, it doesn't adjust as quickly, does it on the Oilfield Services side?
Murray Mullen: Yes Turan, it's one of those strange things and I know as a trucking analyst you might not understand this, but you don't get fuel surcharge from the oil company when oil goes up and your price of diesel goes up typically activity levels go up. But in this first quarter what we saw was WTI was nicely, but WCS was down 22% and yet fuel prices were up 20%, so we got kind of caught because we didn't have that natural rise that follows a rise in oil prices because Canadian producers were just punished because of lack of access and other factors, and so we typically do not have fuel surcharge in the oilfield services side.
Turan Quettawala: That's right. So, I guess there was a bit of headwind, was it not and would you expect that - so would you expect that to come back a little bit as we go through the year presumably it will?
Murray Mullen: Yes, not in second quarter. We do see price fuel of the Oilfield Services segment in the fall and implement rate increases but you just can't do it, there is no activity level in second quarter, so we will monitor it. Obviously we are having conversations with our customers because they know it's not sustainable and so do we.
Turan Quettawala: Okay. Perfect.
Murray Mullen: It's something in the numbers right? Fuel is up as a percentage of revenue, definitely more so in the Oilfield Service than Trucking/Logistics.
Turan Quettawala: Perfect. Thank you so much. That's helpful.
Stephan Clark: I think Turan the big thing that we have to look for in the Oilfield Service side is we just are not relying upon a significant increase in demand. I think there might be a little increase but not a significant. I think the biggest delta that could happen in Oilfield Service is on the supply side. And, as I said they have one of the largest equipment dispersal sales ever in the history of Alberta. Five days up in Edmonton at Ritchie Brothers. So, service companies are throwing in the towel, it's too tough.
Turan Quettawala: Got it, okay. That's helpful. Thank you very much. I think I will leave it there. Thank you very much. Look forward to you guys winning this in third year then.
Murray Mullen: Thank you very much. Sure.
Operator: Our next question comes from Michael Robertson of National Bank Financial.
Michael Robertson: Hey guys…
Murray Mullen: Hi Michael, if you can speak up just little bit that would be helpful.
Michael Robertson: Hey. How is that?
Murray Mullen : There you go.
Michael Robertson: Okay. Yes. So, couple of questions I have got answered already. Sort of just generally speaking, is there anything outside of a major LNG project or pipeline that will get you more optimistic about capital inflow coming back to OFS?
Murray Mullen: No.
Michael Robertson: Those are the few expenses?
Murray Mullen: The biggest one is LNG. Let's just do follow the math. I mean you can do in the Kinder Morgan is maybe $7.5 billion on the project. That's going to help some of the oil sands companies and maybe some price differentials for oil. But realistically I don't think that really adds a whole bunch to incremental demand. LNG $40 billion, now 7.5 and that's just the start because once you get the LNG you are going to have to feedstock, feedstock is drilling. And once they can get access to the price of natural gas it most likely would stabilize. And, to me single most important thing that can happen for our business and for our portions for the Oilfield Service side is drilling. Drilling is a function of natural gas.
Michael Robertson: Okay. That's great.
Murray Mullen: Lots of drilling is light oil economy, I mean, that's what we are doing right now. And it's getting a little bit squeezed out because they just started a lot of pipeline capacity but when you find light oil as you know you are not just finding light oil economy, you are finding a lot of natural gas, which is why natural gas the projection is sky rocketing and nobody is looking for natural gas but we are finding it. We need to get it off, we need to get it off from our province and if you do that that would be economic activity 101. And that would get us excited.
Michael Robertson: All right, fingers crossed, hope that happens. And I will turn back guys.
Murray Mullen : Thank you very much.
Stephan Clark: Thank you.
Operator: [Operator Instructions] Our next question comes from Ian Gillies of GMP Securities.
Ian Gillies: Good morning guys.
Murray Mullen: Hi Ian, how are you?
Ian Gillies: I’m good, well thanks, just hopefully two quick ones from me. With respect to acquisitions in I guess, put on for better term, are you yet looking at anything in the U.S. just given the strength to the economy there and how it may be able to tie in with some of your, I guess, operations in western Canada, is the focus still largely towards eastern Canada and call it the [indiscernible]?
Murray Mullen: Yes. It's more Canadian focused and there is a lot of business in the United States. But as I have said to you a lot of the business down there got low margin, it's – and they have got particularly in the truckload side, there is only a few carriers that have great operating margins, the rest of them are going to be in the high 90s, and that's just not where we see value for shareholders. And, the bottom-line is we are chasing it using our balance sheet to get a low margin business that we just don't, I don't know how to change it to be honest with you. Yes, the market gets a little bit better, but so can cost go up. So, the question is the delta what you keep, so we don't really see where we have a competitive advantage in the United States and we would be dabbling in a big market and that rather be bigger and smaller market than dabbling in a big market. I just –it’s just not our business model.
Ian Gillies: Okay. Fair enough.
Murray Mullen: If you go to the U.S. you got to have to go big and if you are going to go big, you are going to have to be big to do it, you are going to have to make some major, major moves and that's not what we will use our balance sheet for with respect as well on the trucking side, I mean you are talking about tightness of labor, which I believe means rising wages, and I mean I know on the service side most of the customers there typically understand that and get pass through reasonably – on the trucking side, I mean it feels like it has been so long since this happened. I mean when you go talk to your customers, are they accepting all this, do they just tell you to deal with it or how does that dynamic play out?
Murray Mullen : Yes. I think the biggest thing that's happening in the trucking logistic side on the contract side is that it just takes a lot longer than what – you know, I can send the memo to all of our business units, move your pricing, but the facts are we have got relationship, you got contracts in place, and it just can take a little bit of time. But in saying that I can tell you contract prices are moving. And they are moving quite nicely in eastern Canada. Little bit slower in western Canada but it is coming. And the economic – and eastern Canada is doing quite well right now. It's quite busy. Western Canada, we are still kind of struggling because capital is not moving but the pricing is coming. I told people it is coming for two reasons. One if the cost structure is going up and I have no appetite to offer free. We are not Amazon. And number two is that I think the market is going to tighten and pay us or you can have somebody haul your ferry for nothing. I don't really care. My patience has run thin.
Ian Gillies: Got it. Well I appreciate the color. I will turn back over. Thank you very much.
Murray Mullen: Thank you very much.
Operator: Our next question comes from Jon Morrison of CIBC Capital Markets.
Jon Morrison : Morning all.
Murray Mullen: Hi Jon.
Jon Morrison: What would be the average term length in the contracted LTL market? There would be call it fairly typical that you operate under, and what I am really trying to understand is if you felt pricing for some of your contracted work was below the current market rates do those contracts re-open for pricing every few months or is that something longer than that?
Murray Mullen: Well you don't have all contracts [synced] for January first or, whatever it's kind of a trend that everybody has got their time when they sign up and stuff like that. So some of those are yearly contracts, and some of them are kind of they are always open for 30 day or 60 day negotiation on both sides. But I will take part of the blame as I said I think we are a little slow trying to be a little too nice to customers in the first quarter. But we were a little slow. Part of it is us. I think we got out-negotiated. Our sales people and our business leaders and they heard it loud and clear from me, unacceptable. So get the price increases or I will be coming knocking on your door and having a chat and that won’t be a pleasant one. So…
Jon Morrison: So it fair to assume that that pricing likely growing higher throughout the year and you recapture some of that opportunity that you think is there, but it's not like it's all going to be recaptured by Q2. Is that fair?
Murray Mullen: That's fair to assume. I think it's – as they say it's more of a trend Jon that will evolve over the year. It's not something I can say it will happen on – we put a 5% rate increase on April 1, that's not the case. Some customers have got five, some got three, some got 22. So we are having to be very, very selective on how we do it, but I can tell you all prices are going up. It's a matter of to what degree they are going up.
Jon Morrison: Okay. On the trucker shortage side, is there anything that's giving you more heartburn call in the last six to 12 months in terms of the shortage because high level there has been talk of a trucking shortage for five, ten years. Has it just been that people have stayed in the industry longer and now are starting to see a migration out of it – people officially retiring even though they would retire earlier like it's just – it feels like this issue has been percolating for a while. Is there anything that is saying that it's really on the cusp that it's a major issue and it's going to come to a head in the next one to two years?
Murray Mullen: Yes, the next five years as the baby-boomers are out and now let me be clear. I am talking about the trucking, the long-haul trucking business. That is where there is going to be a major, major problem that's coming up because most of the demographics on our trucking logistics, [truck] side is significantly higher. And we have aging baby-boomers that are going to be done in three or five, and we have virtually no young people coming into the long haul business. So that's where I was saying to you the supply chain is going to change dramatically. That's why you are going to have to go to more regional business. You are going to have to go to more rail, intermodal all those kind of things. So which we are changing our business model to that. It's also Jon while we continue to evolve our business towards more of the regional business in the last mile, if you will, because it's easier for us to get people to go to work in that business where we can get them home, give them quality of life, all those kind of things. We are not having quite the same issues on that side.
Jon Morrison: So that's where we could see the statistics within your own company, you would say that your short-haul trucker average age is – it is really lower than your long haul.
Murray Mullen: That's absolutely correct.
Jon Morrison: Okay. Within Canadian Dewatering how much different was the first six weeks of Q2 versus the last six weeks of Q1, and I realize that breakup didn't come until the end of March, but I am surprised given the snow-pack and all the indicators that we saw in the horizon that people were in a little bit early trying to get ahead of things, and perhaps renting things even when you knew you wouldn’t need them for a few weeks.
Murray Mullen: Well, nobody rents unless they need. Like nobody – they – they know it is coming but nobody gives you a check. They just say when it comes and I need it, I will use it. So we have got all of our pumps out today, but it was pretty – it was still pretty cold the first two weeks of April. It's only been the last week. And I think we are going to have another round coming up, which is because of the snow-pack in the mountains and the Rockies. So that's come with mother nature took promise, mother nature will get us but the core business of Canadian Dewatering is the same but other than we lost some pump sales on a year-over-year basis now what I can tell you with absolutely clarity is with some of the pump sales that we had last year was a anomaly in which people did this or was it just people just tightened their books this year. It is maybe a combination of that in terms of the sales but in terms of their pump rentals and all that stuff the last three quarters of the year will be just fine for Canadian Dewatering. It was the – there was no pump. There was no water moving in March this year. Zero. Anywhere. It was even cold in D.C. So and that delayed other things like getting onto sites to start what we call [point] and laying pipe in the ground and doing all those kind of things. So that was an awkward tough quarter for Canadian Dewatering. Part of last year was they had a really good first quarter last year. So it looks even a little bit. It's kind of a half of this, half of that but the rest of the year looks just fine for Canadian Dewatering.
Jon Morrison: Okay. I realized that you have always messaged that you are not going to invest in the services sector until visibility improves, but you also have a history of being somewhat counter-cyclical. So when you see things like the large [indiscernible] equipment that's going to be at Ritchie Bros. this week, does that make you want to go out and buy things at a discount to replace and value to get ahead of that or the visibility is so weak that that doesn't even make sense from a risk reward perspective?
Murray Mullen: No. We will look at it consolidation opportunities Jon where it's compelling. But there has been a difference in the bid ask and so either look, fundamentally I am not at that point yet, where I say the oil and gas service side is a growth business again. Therefore, it's just business. And we are not going to price in any new margin increase, no nothing. It's just – there is a million bucks and what do we get for the return on it. And if we can justify that then we will invest, but it's going to be have to be a consolidation play; just as we are doing in the trucking logistic side. And if we see that opportunity we will do it. Are we going to run up to Ritchie Bros. and be a acquirer of some trucks and trailers and hope that a customer gives us a price increase, not a chance. Not doing it.
Jon Morrison: Within the services sector, we can obviously back into what the margin impact would be or estimate it based on what you said around Premay Pipeline and Canadian Dewatering, but in other business units is it fair to say that pricing and margins were fairly static or where diesel rates have changed that we might not be able to pick up on just given the disclosures that we have?
Murray Mullen: It was – they were down a little – they compressed a little bit not in the rest of our business and not significantly. The one area that where we really got – maybe the delta has changed a bit and that is in our pipe storage and tubular business that we highlighted. That said we had some competitive pricing pressures come in and one of the pipe suppliers ended up doing more. So we probably – that probably is more longer term and it's got to play itself out. That's not a huge part of our business but it is a part of our business and we were down in the first quarter and I won’t expect that to be down over the next until we get some clarity as to who is going to bring the pipe in, who gets the jobs, and our yards are full, but we are just not hauling as much pipe out to the site. The rig count was down so that I can get that rig count is down. Rig count is down. There is not as much pipe moving out but we did lose some business to a new competitor that came in, which is [Tenaris Pipe] that got a couple of their own yards, and they took some pipe out of our yard. So when they take the pipe, I wasn't going to hope for him. I am not going to go…
Jon Morrison: Is it fair to assume that fluid hauling is starting to get marginally better? I know it's been a challenged segment for a while for competitive reasons, but is it still fairly lethargic? Are you starting to see pricing there growing slightly higher?
Murray Mullen: It's starting to grow higher because supply – our competitors are [dying] on the volume.
Jon Morrison: Okay.
Murray Mullen: Nearly all of our competitors in Northeast Alberta, [indiscernible] nearly all our competitors are on COD. They can't move. It's only a matter of time until that comes in but let's be clear. Our customers are not going to pay us more than they absolutely have to. So we have to let the market on the supply side take care of itself because I don't see tremendous demand growth. I do see opportunity because of supply contraction and that's just because they are running out of money.
Jon Morrison: Okay. Last one just from me on the T&L side, the Canadian market obviously has a couple of large operators but there are still a number of fragmented players out there. Are all of the smaller private operators looking at the tightening market conditions and pricing accordingly, or would you say that they are leaving opportunity on the table and that's ultimately not allowing pricing to go through the rate at which fundamentals would argue that it should be?
Murray Mullen: Yes. That's a good point and one that we – I can't give you a true definitive answer on that but I can – let me just phrase it this way. I think that most smaller companies, and particularly the ones that we have acquired, they don't – they can't play poker quite as tough as we can or customers are very good at driving leverage, and they know they own you, and if you are a small entrepreneur. You walk a tight rope everyday because you don't want to lose the customer because you can't afford to lose a customer. We are big enough and we go looking. I look at the macro-scene and I say, look, if you are not using us you got to use the other guy, and this is what he is going to price. So – but generally you are right. I mean smaller companies are – they are afraid to lose a customer. Therefore, they price a little more competitive. They are tough competition.
Jon Morrison: Appreciate the color. I will turn it back.
Murray Mullen: Thank you very much.
Operator: Our next question comes from Jeff Fetterly of Peters and Co. Limited.
Jeff Fetterly: Good morning everyone. I will keep it brief. Just a clarification question. On the T&L side, given the secular trends and comments you mentioned earlier Murray does that change your approach to M&A or how you think about acquisition metrics?
Murray Mullen: On the TL side Jeff or on –?
Jeff Fetterly: TL.
Murray Mullen: Well, we as we’ve talked about and I will make sure I get this right. I will answer it this way, and if I get it wrong just shoot it back at me, but thus far we have been bunts and singles. We have been putting together smaller tuck-ins, and whatever because that's where we see value. We didn't see enough pricing leverage in the marketplace to go out and buy standalone companies. We had defined synergy through cost. It's way easier when the demand is growing like crazy and you are getting pricing leverage, and you just go blah, blah, blah. But in a tight market where the economy is not growing that much, typically you are going to have to find the synergy on the cost side. If you – in a tuck-in, we get it. We just get rid of terminals. We get rid of a layer of people. We just roll it right into an existing business unit. If we go after a larger acquisition opportunity, and let's take [indiscernible] as an example. We have moved the margin up, but it hasn't moved up as much as I would want or that I expect. And truthfully, I think we have got a damn good management team there but even they are having trouble moving the margin up to where I think it needs to be. So if that's the case with a good management team, and then we go get a company that's underperforming and it's large, how do I move the margin up in that? You got to find synergy or else it can't make it up on volume.
Jeff Fetterly: So, if you think we are in a secular upswing in pricing, obviously the cost side is there, but secular upswing pricing does that increase your willingness to look at something at six or seven times multiple?
Murray Mullen: Yes. It does but then the question becomes, one, who gets the benefit, the buyer or the seller. And, of course, we are always looking at the benefit must go to Mullen shareholders. We are the ones that are putting the new capital in and we are the ones that are going to change the dynamic. So we are always looking and that's always been the [indiscernible] with us. I go, why would I do an acquisition and help the seller out. I can help the seller out, but only if I can be satisfied that we are helping out Mullen shareholders. And that's why we generally stuck to the tuck-in acquisitions over the last little bit. We have looked at a lot of acquisition opportunities but once again if you do that you use up your whole balance sheet on a big one, and then you are kind of you better be right. You can't be wrong.
Jeff Fetterly: Thanks for the color. I will leave it at that.
Murray Mullen: Thank you very much.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Mullen for any closing remarks.
Murray Mullen: So folks I would – I will just close by saying it was a little noisy in the first quarter, but I honestly will go back to my original one. I wouldn't jump off the bridge. We are still on target for our 2018 financial goals, which we have articulated at 1.2 billion of sales and achieve operating margins in the 16% to 17% range at the end of the year and that will equate to an EBITDA of above $190 million, $200 million. I would get a lot more excited if we get Canadians in our federal government and politicians behind the oil and gas business, but we need to be realistic on it. But let's say, right for the moment, I think the Canadian oil and gas industry is not a growth industry. But that does no imply that there won’t be future opportunity in this business and the senior team here is looking at and evaluating a number of opportunities. We just need to stay focused, and we got to stay central to our strategic and plan and we got to be patient. Now in terms of the oil and gas business, I know that the rest of Canada maybe isn't in love with the oil and gas business today but it really doesn't – the world really doesn't care whether we invest in the oil and gas sector industry here in Canada. It's only Canadians in the environmental movement that seem to care because around the rest of the world the demand for crude oil continues to grow at around a 20-year average of 1.3 million barrels per day every single year. And globally we are now at or near 100 million barrels of oil consumed every single day of the year in the world. Canada's contribution to meet this demand is around 4 million barrels a day, or 4% of the world's daily consumption. I don't think the rest of the world really cares. This is the reality. I hope that we can find some way to make the energy industry and the oil and gas business a viable business so that Canadians will support it and it can be a growth industry again, but at the moment we seem to be challenged, but as I said the rest of the world doesn't care. Thank you very much. We look forward to chatting with you in the summer.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.